Operator: Good afternoon, thanks for waiting and welcome to CSN’s Conference Call regarding Results for the Third Quarter 2013. Today we have Chief Executive Officer of CSN. We’d like to inform you that this event is being record and all participants will be in a listen-only mode, during the conference presentation. Next we’ll start a Q&A session and further instructions will be given at that time. (Operator Instructions) We would like to inform you that we have simultaneous webcast and this may be access by www.csn.com.br/ir where you also find the slide presentation. The slide presentation will be controlled by you. There will be a reply service for this call on the web site. We would like inform you that due to large number of participants the company will answer only up to two questions per participants with no rights to reply. Therefore, we kindly ask you that all questions are made at once as soon as the line is opened by the operator. Before proceeding let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reforms Act of 1996. Forward-looking statements are based on the beliefs and assumptions of CSN management as well as on information currently available to the Company. They involve risks, uncertainties, and assumptions because they relate to future events, and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions, and other operating factors could also impact the future results of CSN and could cause results to differ materially from those expressed in such forward-looking statements. Now, I’ll turn the floor to Mr. David Salama, CSN’s Executive Investor Relations Officer, who will present the Company’s operating and financial highlights for the period. Please Mr. Salama you may start.
David Moise Salama: Good afternoon, thank you very much for attending CSN’s conference to talk about the results of the third quarter 2013. We have with me CSN’s Executive Officer. Let’s start with Slide number 3 where we see the results for the third quarter of 2013. We have been posted a record net revenue of R$4.7 billion in 3Q 2013, 15% up on the second quarter of 2013 may be due to higher revenues from mining sector. In the third quarter of 2013, the results are up by 23% basically due to the increase in revenues from mining and steel industry. We must emphasis that year-to-date net revenue came to R$12.4 billion, a 15% increase over the same period of 2012, consolidated through profit totaled $1.4 billion in 3Q 2013, up 35% through the second quarter of 2013 with a gross margin of 30%. Investments in the third quarter totaled R$838 million in that R$234 million were to the steel industry and R$216 million to the mining industry and $367 million to logistics and as we continue to consolidate Transnordestina project to the third quarter 2013 that R$301 million was only to this venture. Adjusted EBITDA totaled R$1.7 billion in the third quarter of 2013, 51% up on the R$1.1 billion reported in the second quarter of 2013. The net margin is the largest in the fourth quarter of 2011, an increase of 7 percentage points compared to the second quarter in 2013. Let’s move on to the Slide number 4 where we see the result broken down by segments. The steel segment accounted for 60% of net revenue and 39% of total EBITDA in the first quarter of 2013, mining on the other hand reached 31% of net revenue and 51% of EBITDA. Now let’s go to Slide number 5 showing the detailed results for the steel segment. Let’s start with left hand corner 1.5 million tons of steel sold in the third quarter of 2013 with 3.5% below the second quarter of 2013. You must remember that the second quarter of 2013 was the second best quarter in steel sales in company’s history. Of the total sales for the domestic market accounted for a 77% share, 20% through our overseas subsidiaries and 2% exports. Total steel sales amounted to 4.7 million ton, 8% up year-to-year results. So on the top now on the right hand side, net revenue from the steel operations area reached a record amount of R$3.2 billion in the third quarter of 2013, 2% up on 2Q 2013 ranges are fueled by higher pricing this quarter. The average net revenue per ton in the third quarter of 2013 was R$2.043 an increase of 5% over R$1944 posted in the second quarter 2013 while achieving net revenue of R$9.3 billion since steel operations is also a record 17% over the same period of 2012 with a highlight for the volumes sold in the period.
Luis Fernando Barbosa Martinez: Bottom part of the slide we’re talking about the EBITDA, EBITDA just for steel in the third quarter was R$673 million up 9% from the second quarter whereas the adjusted EBITDA margins increased 1% and reaching 21% on the next slide we have the same breakdown now focusing on mining. We once again thought on the top left hand side of the slide, where you can see the mining sales up, iron ore sales in the third quarter reached R$7.7 million tons, 20% up from those seen in the second quarter reaching a total of 4.8 million tons stated by CSN and 2.9 million tons by Namisa. I also would like to highlight that the volume of iron ore shipped in to [indiscernible] which reached a record of 8.3 million tons in the third quarter due to the start-up of our new port capacity in to cost which takes 45 million tons a year. In addition to sales, our customer CSN additionally consumed 1.5 million tons of iron ore and the precedent of steel works in the third quarter of 2013. On the top side of the slide, now the right hand side we see that the third quarter net revenue for mining reached a record level of $1.6 billion which represents 6%, 7% higher than the previous quarter reflecting primarily higher sales volume and also higher prices, our average price of CSN reached $105 per ton in the third quarter as compared to $89 per ton charge in the second quarter, which means an increase of 18%, in the third quarter EBITDA totaled R$872 million which was a hefty 119% increase on the previous quarter. The adjusted EBITDA margin reached 53%, 13% up from the second quarter this year. Now coming through Slide 7 we will present the evaluation of the EBITDA and comparing to second and third quarters of 2013, EBITDA of R$1.7 billion in the third quarter recorded a significant growth of 61% compared to the previous quarter positive impact was a significant amount of sales of higher price of mining ore, the seasonally dollar gain for real has higher prices of steel production. On the other hand there was a slight decrease due to the lower sales volumes in the steel industry. We now move to Slide number 8 where we have our net debt, net debt over EBITDA dropped from R$3.9 million at the end of second quarter to R$3.6 million at the end of the third quarter. Net debt at the end of the third quarter was at the net debt actually at the end of the quarter was at R$17.8 billion an increase of R$0.9 billion as compared to annual second quarter with a gross debt of R$31.1 billion and a cash position of R$14.4 billion. The total gross debt at the end of September 64% share was denominated in Reais and 36 in foreign currency mainly U.S. dollars and disposition 89% of the debt is long-term and a 11% short-term, CapEx for the third quarter totaled R$800 million those ones were the charges of R$700 million, the payment of dividends and futures on shareholders equity of R$400 million an increase in working capital of R$500 million in addition to other effects of R$200 million which contributed to the increase in net debt which were partially offset by EBITDA and maybe the level of R$1.7 billion. It’s the end of my presentation, we can now move on to the Q&A session. Thank you very much.
Operator: Thank you, we will now start the Q&A session for investors and analysts. (Operator Instructions) Please hold while recollecting the questions. Mr. Marcos Assumpção from Itau BBA would like to ask a question.
Marcos Assumpção – Itau BBA: Good afternoon. First question regarding the Transnordestina project, could you give us an update regarding the project and also what do you think the recent changes may impact in terms of future results? I’m pleased if Martinez could talk a little bit about the steel works. The increase, the average increase of 5%, could you please give us some color as to what is exchange rate, what is increase in price and also if you could tell us about the negotiations for the automotive industry regarding higher prices for the fourth quarter or for the beginning of next year?
Unidentified Company Representative: Good afternoon. I’m going to ask Martinez to answer the second question first regarding the steel market and then I’ll go back to the first question.
Luis Fernando Barbosa Martinez: Good afternoon, Marcos. As to the market condition, supporting to the number of debt in spite a very good year that we’ve experienced in 2013 regarding steel, we have a GDP increase of 1.1% to 1.3% still way below what we considered to be something reasonable, which would be 3% to 4%. In spite of that the expectations for next year are to work with a GDP increase of around 2% comparing to 2012, which was minus 0.8%. And now talking about the automotive industry, the perspective is very good in terms of the steel consumptions we project through the year with 14.7 million tons which would be an increase of 4% regarding last year as to the several different industries starting by the automotive industry, we expect a total growth of 6% and the expectations for next year are around 5% with a special highlight to the truck industry, which has increased 11% to 14% in 2013 and automobile sales are stable. Although at the end of the year, we saw a raise in inventories as the dealerships. Another important highlight regarding area of agriculture machineries, which should bodes an increase of 15% and an industry that has not picked up yet, which is civil construction industry. This year should grow around 2% only, in spite of all the announcements regarding in construction – in constructed construction work for the World Cup and for the Olympic Games. We had an inquisitive increase regarding commercial and industrial work and also the increase of deal regarding this portfolio. Just surprising if we can see an [indiscernible] 11.5% year-to-date earnings in the distribution area, we consider an increase of 10% to 12% for the industry as a whole. This increase has already being factored in, but there is still some deals going on regarding the automotive industry and we should come to a conclusion by the end of this month. Part of the increase that we see in the raise in the net revenue has to do with a better mix, which was around 2% to 3% in the case of CSN. We also had about the prices with the automobile industry, I think that was right and the exchange rate, when we talk about exchange rate, it’s very important to talk about the premium that we have for important materials with the semester. We are working with a 2% premium for the important material.
Unidentified Company Representative: Let’s talk a little bit about the Transnordestina project even though those documents have been signed, they were signed on September 20 of this year. And the main objective was balance of the confession that we have the economic balance. So what we have now with us documents which have been signed and which will have an important impact on our numbers. So I’ll try to summarize to you, what the agreement entails. We have a proportional spin-off ITASA what we have is the old grade to existing grade and the new grade, which will feel in the coming years. Basically when we talk about the old grade CSN stake is basically the same, there won’t be any major changes. The big news concern the new grades were we will basically have a reduction in CSN participation basically due to a conversion, which will be made evolving debentures. And also a natural dilution arising from the physical evolution of the work up until the end of the work, and in fact that conversion is mandatory and we will take place at the end of the construction which is scheduled for the end of 2016, the new timeframe for completion is 36 months, so we should finish those work in October 2016. And there was also an extension in the consent timeframe for the new grades, which was postponed up until 2057 and the CapEx for the project has also been reviewed as you know that previous CapEx was R$5.54 billion in fact that has been reviewed upwards to R$7.5 billion both numbers have been updated and they reach up to $8 billion in updated terms, so basically you can see that for now this will have an interesting impact on the Company’s balance sheet. CSN will no longer have control of the new grade. So this will have a sizable effect, especially when we have the spin-off, which is scheduled to happen in the last quarter of this year. So Dan will have being able to those all the effect of all those impact in terms of the consolidated levers level of the company. Mr. Ivano Westin from Credit Suisse would like to ask a question now.
Ivano Westin – Credit Suisse: Good afternoon congratulations on the results, my first question is about tax litigations you’ll report certain amount of $2 billion to the year 2009. I like you to give us some color on the estimated amount for 2012 and your assessment or your plan to participate in the recovery program? And the second question is you have not been returning volumes of third party, what is the status of that negotiations, what is the level of products that you are buying in reais and products of that you are selling it in foreign currency?
Unidentified Company Representative: Thanks for the question, Daniel, we will answer your second question and then I will go back to the first one.
Unidentified Company Representative: Good afternoon Ivano as you know we would like to announce the consolidated numbers for Namisa in case of Island and/or but what is happening today here in Brazil is that because of delays in terms of capacities we have to manage to do our homework, but we have been facing a very favorable condition to export the ore in the state of Minnesota. We have been tapping that opportunity that has contributed significantly for our results. And in what concern contingencies arising from profits reach overseas we would need to look at the broad picture and that’s over 2013 tax authorities in Brazil launched a program to breakdown fiscal debt known as which is based on Law 865 and that was changed by Manager at the beginning of this week and what basically yields with income tax on the profit to buy consult companies overseas and to-date for people for companies that hear to the program and that line is the end of this month – the end of November. So under this new tax recovery program, debt which matured until December last year can be repaid now in two basic different place. Cash payment with a deduction of 100% of penalties and the second option is a payment in 180 monthly installments with a 20% down payment, a reduction of 60% interest rate, 80% in penalties and 100% in legal charges. It’s important to emphasize that in this installment option both penalties and up to 30% of the principal will be able to be settled through tax loss credit. So it is a quite complex issue that MP was just launched as I said this week as statutory measure and we are still trying to understand it and we will submit it to the company’s board as soon as we have a more thorough analysis of the problem and it will be after the company’s Board to choose which way to go. And this will also depend on Brazilian companies complexity level, so that’s basically what I can say to you right now numbers announced have been and before we have nothing else to add in terms of those figures, but as soon as we have new numbers or new decisions made by our Board we will inform the market.
Operator: [Indiscernible] ask a question.
Unidentified Analyst: Good afternoon, thank you for the opportunity, the first one about mining, we see a very strong volumes in Cuba and the expenses is $45 million which is scheduled for next year. So I would like to know how the projections are if you’re going to spend as there is more availability. And the second one about Namisa, if you are reaching an agreement in terms of capacity expansion and if you could give us some color how the fields are going?
Unidentified Company Representative: I think first talk about Namisa, about Namisa’s issue, basically what I’ve noticed is that the reach an agreement badly and our expectation is that [indiscernible] by the beginning of 2014 and we’re aiming for a convergence of proposals. So in terms of percentages of participation and this is basically what we’re discussing now. But we have very positive expectations, we see there is a two parties are willing to reach this agreement and as soon as we more news we will get back to you, now I will give the floor to – to talk about the other question.
Unidentified Company Representative: We have seen a very important recovery along the years and this can be seen by the figures, this recovery has to do with our efforts in terms of – it’s an oriented expansion project and installing the board capacity which was ongoing little while ago and was very successful in our increase in production and this is indeed a consequence of the expansion of the works that are reaching their final stage. In the past we decided to change strategy and have some nice introduction, we had a problem with the for reach and we have three new processing areas and we now have some leeways, so we are keeping up and we’re trying to keep the pace and recover for the time loss and so we are ready working at full capacity. So our change in strategy was very positive one and this year we worked through the mines still next year we have all the conditions required to have our installed capacity at the board and we have made lots of investments in terms of discovery but large construction office is now about to finish. We are finishing an important classification in Casa de Pedra, where we’re going to have faced in capacity to fulfill our production group and long-term, we also thought a very large set of mining equipment. We already have two new loaders working to this month and long-term but in the equipment. At the beginning of next year, we’ll have the mines, the process and the reject or the waste area, everything prepared to operate at full capacity. We are undergoing a very important thing finishing the work. As I said in last call, we are finishing the critical processes. In next year, we’re going to have a pumping line to the rail terminal and we’ll finish the extension work with the railway loading capacity. So we are at the end of this construction as [indiscernible] and by the end of the year we’ll be working at full core capacity.
Unidentified Analyst: [Indiscernible] like to ask a question. Good afternoon congratulations on the result. Could you explain that number of EBITDA moving to R$392 million in the third quarter was coming to about the same quarter-on-quarter, and the second question was about suppliers, it was dropping 460 million. So I’d like to understand why this, and then you talked about third-party mining suppliers, if you have a better condition in terms of negotiations with those third-party suppliers. And the second question, if you could perhaps later explain the first question a little more fairly.
Unidentified Company Representative: But basically we have an increase in working capital level around 500 million, basically the two decrease in the account for suppliers in the amount of 1.5 billion at the end of the second quarter to around to 1 billion at the end of the third quarter, part of the adjustment was due to the fact that we are consolidating Transnordestina. We have been on our balance sheet that had significant impact on our balance sheet and the order of 300 million, 200 million to 300 million and the remainder can be attributed to a natural adjustment arising from our purchase strategy especially on call and this had an additional impact of around 240 million both basically but explains that decrease in balance account for suppliers which was 1.5 billion in the end of June and it’s now at 1 billion. I would like to, if you can today you could perhaps forward me your first question, and then I can try and understand your question better and then get back to you.
Operator: Thiago Lofiego from Merrill Lynch I would like to ask a question.
Thiago Lofiego - Bank of America Merrill Lynch: Good afternoon, I have two questions the first concerning the fourth, if you could give us the average price for on the first quarter, was that fee your charging at the port for third-party and if you have separate EBITDA for [indiscernible], I would like to have that too. And then second question back to margin, if you could comment on little bit on the competitive environment.
Unidentified Company Representative: If you see competitors, we’re gaining market share and a short-term or if that’s not the case, and we’ve had premium from 7% to 12% is sustainable from your standpoint. I will ask Geraldo Morais, our Commercial Officer for Mining to answer the first question and then the second question will be addressed by Martinez.
Geraldo Morais: The price for oil in the first quarter was $105 per ton was our best pricing in the year. We managed in this quarter to capture a significant part of our sales because we were exposed to a different index but we managed for especially in order to sell some loads on the spot market of a fixed price and that allowed us to capture the market at the right moment. When you look at whole year, when you compare the first or the second have of the year, we can see that the volatility of the price decreased significantly the first half, the monthly average, the spread between the highest and the lowest average worth $40. The second half that spread is around $10, so that relatively decreases and we think that is due to a reduction in inventories in China. We think following capacity from Australia this is also in the pipeline for next year, but as inventories are very much which is China keeps them buying, they are on the verge of breaking production records on an annual basis in terms of steel, so we ore prices should remain at the level where they are maybe slightly lower because of other competitors coming from market. But we do not share the vision that coming in the market that prices were plummeted, we have not shared that we think prices tend to be slightly lower than what they are today, but still very good for our operations.
Unidentified Analyst: [Indiscernible] good afternoon, this is Martin speaking. I will talk about the competitive environment a little bit and then I’ll address the premiums on imported materials. We have five points. I like to mention I mean which are important to understand the steel business of our company. The first one is supply and demand of steel. In Brazil, you have three mills producing steel in Brazil and they are operating at a relatively high capacity, in the case of CSN we are at the full capacity something close to 98% allotted to the internal market. So my maneuvering space is very restricted in terms of volume. So what that CNN tried to do. What I’ve been saying about the last three years company’s focus is working on domestic market and that is our intention to still maintain those 98% level for the internal market also benefit from our important product portfolio and deliver to the market a package with high added value that brings along an interesting service package as well, something which is also very important is that we are trying to instead of concentrating our sales on retail on increasing our customer base is what arises from there. Even though I am at full capacity [indiscernible] and working at a low capacity of 5 million was through it was converted our mix of the lowest added value to a higher added value mix. So just to give you an idea if I’m not wrong, I might be wrong. My numbers here but not too much, but basically 45% to 47% of our outlook today is linked to line products which makes a sense in the market. And that will allow us to see good price at the derived moment, but it will also reflect on our average price truly there is interesting improvement in terms of added value mix as a product. Something else which is important and which is linked the premium. If we think of BQ today at $540, I didn’t get the right number here. And if I bring this BQ to Brazil with a dollar at 2.30 or 2.35 we have a premium of around 7% that premium I believe if we are talking about $540 that fall price. So I mentioned 2.35 or 2.30 actually 2.30. In the case of materials because it brings along a service package, we are able to have better premiums. In the case of the zinc and sheets that premiums hover around 12%, I believe that level encompassing 7% to 12% and when you take into consideration the supply and demand situation that we have right now the sectors competitiveness I think those numbers are sustainable. When we analyze the foreign exchange rates, it is even more sustainable because the foreign exchange rate as is very bad. So that is I think it is the symbol because the market is not very sure in terms of importing material. Another important point which tends to benefit here the level of indirect imports because of programs launched by the government such as the – ANFAVEA auto parts. If you decrease the level of steel in products that arrive in the countries by imports, so this might take some time to happen, but I believe that as early as the beginning of May of next year. Some of the products which were coming to Brazil through indirect imports will be converted into made in Brazil products. And I mean a 100% made in Brazil, not just the assembly of imported parts. So the steel would be totally processed in Brazil, which is a very positive situation for our markets. So that thing that I mentioned ranging from 7% to 12% with industry is quite viable, quite feasible and CSN will carry on its strategy of investing and higher added value products and increasing our market platform, increasing our customer base. And on top of that, in the beginning of the year, our client base will be expanded because our long – our new plant will be – will be put into operation. So our client base of around 3,000 clients when compared to 10,000 clients in our cements client base. So those clients in cement base will help us in that, we won’t have our eggs on the same basket. We’ll be participating in several markets and keeping a different range of customers in different segments.
Operator: Leonardo Correa from HSBC would like to ask a question.
Leonardo Correa – HSBC: Good afternoon. Thank you very much for the opportunity. The first question is about the negotiations with – we haven’t had any news about that if anything going on, any deals. Have you finished – have you closed any deals? Now the SG&A, we saw an impressive drop – drop in the semester in SG&A. So can you give us some color on what’s being done, what are the initiatives that are giving – promoting this decrease in expenditure?
Unidentified Company Representative: Thank you very much for your questions. Regarding the M&A transactions, I wouldn’t like to comment – we don’t want to disclose any deals, the CSN is always evaluating operations that would add value to our shareholders. And the only thing I would like to be clear is that as we have already said in the past – as we already said in the past we won’t do anything that it’s not economically sensible. We’re always trying to add value to the shareholders – return to our shareholders. So what I can tell you at the moment is that there are no binding operation in that. We are always trying to close deals that will add value to our shareholders. I want to know whether you remember in the last quarter, we felt that we are currently holding a very extensive program to reduce costs and expenditures in the company and this system being rolled out very strongly, more specifically and certain business segment. We are trying to gain efficiencies, and this has already translated into some results you’ve seen in the figures that we showed. This will go on being so in the next quarters. We will have more efficiency, and we also have a program for maintenance to recover productive units. So all these measures added will lead to better results quarter- after-quarter.
Operator: [Indiscernible] would like to ask a question. You have the floor. [Indiscernible] you have the floor. We have a question. Carlos de Alba from Morgan Stanley would like to ask a question.
Carlos F. De Alba – Morgan Stanley & Co. LLC: Thank you very much, could you comment a little about the guidance for next year in terms of CapEx volumes of iron ore and if you can distinguish between what would be Casa de Pedra and Namisa but if not at least in dollar as well as while you are viewing in terms of the volumes for steel operations. And the second question is if you can give us a little bit more color as too how the negotiations with the auto steel makers kind of going. Do you feel that the good growth that we are seeing in that industry combined with the weaker currency that we can see a price increase between 5% and 10% to the auto sector?
Unidentified Company Representative: Thank you very much for your question Carlos. Regarding, well basically just to summary what you ask first question regards CapEx and the projection for 2013, the second quarter is about the automotive market and this second question will be answered by Martinez. Basically right now we are working in 2014 project. We are reviewing this figure for CapEx and for result projection and figures will be submitted to our Board as soon as we have the approval. We’ll disclose the figures both CapEx and projections in terms of volumes for next year. We’ll disclose it as do every year. Now Martinez will answer the question regarding the automotive market.
Luis Fernando Barbosa Martinez: When I talk about competitiveness of the productive chain in addition to cost, exchange rate, import, supply and demand, of course these are the factors that we are always observe the how competitive steel being in the supply chain. The automotive industry in spite of all the discussions surrounding it, so the last two or three areas, the automotive industry hasn’t had any price increases in Brazil, quite the opposite actually, if you know to the reduction in the business in terms of IPCA in the last three years, you see that the automotive industry has had a drop off 25% to 30% in prices in the last three years. So the market especially has been more than in pace with the market it has been solitary with the growth of the market in Brazil, not only the light vehicles industry, but also commercial vehicles and semi-trailers, trucks, so there comes a moment when we would need to sell to discount pricing vis-à-vis what happened in the last year. So we are negotiating with all the automobile industry and this is being done very professionally, we won’t be satisfactory to the benefit. They want to sell cars, I want to sell steel, so I believe that by the end of this month, we should strike a deal not only with the automakers, because there is also a second tier in other areas in the industry, which are part of the same package. CSN will most certainly privileged in the portfolio of products. We are talking about pre-painted materials, we have eight plants in Porto Real which is really state-of-the-art ready to meet the needs of this industry and with the extension that we have made is somehow idle capacity, so if all the conditions required for a happy ending for the industry by the end of this year.
Operator: We have one more question from the English. Please Mr. Roy carry on. (Operator Instructions) Thank you this concludes the Q&A session, we’ll give the floor back to Mr. David Salama, IR Officer for the final remarks.
David Moise Salama: I would like to thank you all for joining us today in this audio conference. I would like to emphasize that our IR team will be available to answer questions that may, eventually may not having answered today. Once again thank you and have a nice day.
Operator: Thank you. CSN’s results audio conference is now over. Please disconnect your lines and have a nice afternoon.